Operator: My name is Nadia, and I'll be coordinating the call today [Operator Instructions]. I will now hand you over to your host, Ross Wong, Vice President of Finance and Investor Relations, to begin. Ross, please go ahead.
Ross Wong: Thanks, operator, and good morning, everyone. Welcome to the Sitio Royalties Fourth Quarter and Full Year 2022 earnings call. If you don't already have a copy of our recent press release and updated investor presentation, please visit our Web site at www.sitio.com where you will find them in our Investor Relations section. With me today to discuss fourth quarter and full year 2022 financial and operating results is Chris Conoscenti, our Chief Executive Officer; Carrie Osicka, our Chief Financial Officer, and other members of our executive leadership team. Before we start, I would like to remind you that our discussion today may contain forward-looking statements and non-GAAP measures. Please refer to our earnings press release, investor presentation and publicly filed documents for additional information regarding such forward-looking statements and non-GAAP measures. And with that, I'll turn the call over to Chris.
Chris Conoscenti: Thanks, Ross. Good morning, everyone. And thank you for joining Sitio's fourth quarter and full year 2022 earnings call. We had a tremendous 2022 and demonstrated strong execution on our large scale minerals consolidation strategy through a series of transactions that transformed us from a private company with approximately 106,000 net royalty acres in the Permian Basin at the beginning of the year to one of the largest publicly traded oil and gas mineral and royalty companies in the US upon completion of the Brigham merger in December. Closing two corporate mergers and two large cash acquisitions within a calendar year is an impressive feat and I would like to thank the Sitio team and our board members for their dedication and hard work to get us to this point. We now own 260,000 net royalty acres across seven of the premier oil and gas basins in the country and have exposure to over 170 operators of horizontally drilled wells based on fourth quarter 2022 production. The oil and gas minerals and royalty sector remains highly fragmented we are well positioned to be the natural consolidator with our proven returns focused and large scale consolidation strategy. In addition to meaningfully scaling our business, impressive returns were generated for investors. All shareholders regardless of whether they originally own stock in or Brigham experienced total returns in 2022 in excess of 60%. Now turning to our fourth quarter results. Due to lower commodity prices, Sitio's average realized unhedged revenue per barrel of oil equivalent was down 17% from $65.71 per Boe in the third quarter to $54.68 per Boe in the fourth quarter. This was partially offset by a quarterly increase in average daily production of 935 barrels of oil equivalent per day, which generated an incremental $5.8 million in revenues in the fourth quarter. Sitio generated adjusted EBITDA of $93.1 million and discretionary cash flow of $77.5 million in the fourth quarter, which both included three days of contribution from the Brigham assets since that transaction closed on December 29th. Quarterly adjusted EBITDA was down sequentially by 12%, primarily due to lower commodity prices. Quarterly discretionary cash flow was down sequentially by 17% as a result of weaker commodity prices and increased cash interest, partially offset by a reduction in cash taxes. Cash interest expense was higher by $4.1 million compared to the third quarter due to higher debt levels from refinancing the $425 million bridge loan with $450 million of senior unsecured notes and higher interest rates on all of our debt because of the rising SOFR curve. Our cash taxes paid decreased by $1.4 million relative to the third quarter. However, some of this was due to timing, because the tax payment for the fourth quarter of approximately $0.5 million was made in January of this year. For the fourth quarter, we are declaring a dividend of $0.60 per share. This is based on a full quarter of discretionary cash flow from Sitio and Brigham of $144.3 million assuming the Brigham transaction had closed on October 01, 2022. This dividend per share amount is down $0.12 or nearly 17% from our third quarter dividend per share of $0.72. So I wanted to provide some color to help explain that change. On a standalone basis, as if the Brigham merger had never occurred and at our standard 65% payout ratio, Sitio's fourth quarter dividend would have been $0.58 per share. Lower commodity prices accounted for a $0.12 per share decrease. Higher interest expense, lower lease bonus activity and higher severance and ad valorem taxes accounted for a $0.05 per share decrease. Lower cash G&A, lower cash taxes and hedge impacts accounted for a $0.03 per share increase in the fourth quarter dividend. Outperformance of the Brigham assets created a $0.02 per share accretion versus Sitio on a standalone basis, increasing the fourth quarter declared dividend to $0.60 per share. Our business generates an incredible amount of cash. And assuming that Sitio and Brigham had been combined since July 1 of 2022, we have declared or distributed approximately $200 million in aggregate dividend for the second half of 2022, which is more than any other US publicly traded minerals company over this time period. This aggregate dividend amount is also competitive with exploration and production companies with only three publicly traded E&Ps in the US that have declared more aggregate dividends over the same period and have a market cap of less than $20 billion. To make things simple, all metrics I refer to from hereon will be on a pro forma basis as if Sitio and Brigham were combined for the entire fourth quarter, because we believe it is most relevant for investors, particularly since this is how results will be reported in future quarters. Operators remained active on the acreage underlying our minerals turning inline 1,200 gross wells normalized to 5,000 foot laterals, which equated to 7.3 net normalized wells. Fourth quarter net production volume of 34,424 Boes per day outperformed our expectations and were above the top end of the range of our combined company guidance, partly due to approximately 16,000 Boes per day from the Brigham assets, which continued to outperform what we underwrote for the merger. Now that the Brigham merger is behind us and the 2022 books are closed, we have issued full year 2023 guidance. Our line of sight inventory of $47.9 million net normalized spud and permitted wells, which on average typically come online within 12 months, remains near record high levels and provides visibility into near term production growth, particularly when compared to the 128.1 net normalized wells that were turned in line on our acreage over the past four years combined. The Delaware, Midland and DJ Basins continued to be the most meaningful and active areas in our portfolio, accounting for 94% of net wells turned inline during the fourth quarter and 92% of our net line of sight wells at year end. We expect these three basins to have higher near term growth than the other geographies in our portfolio due to the mix of operators, resilient well economics and robust levels of remaining inventory. Our 2023 guidance includes a production guidance range of 34,000 to 37,000 Boes per day, with a range of 49% to 51% for oil as a percent of production. The midpoint of this production guidance range is up by 6% relative to the midpoint of the previous guidance issued in November for the 12 months ending June 30, 2023. We also provided an annual cash G&A guidance range of $25 million to $27 million, which implies cash G&A of $2.01 per BOE, a $0.26 per Boe reduction versus Sitio on a standalone basis for the fourth quarter of 2022. The rest of our full year 2023 guidance metrics are relatively inline with our prior guidance. Now transitioning to the balance sheet. We inherited Brigham's revolving credit facility when we closed the merger, resulting in us having both Sitio's revolver and Brigham's revolver on our balance sheet at year end. In January, we launched a syndication for a new revolving credit facility, which closed and became effective on February 3rd with elected commitments of $750 million from a 15 member bank group. I would like to thank all of the banks who supported us throughout this process and help to syndicate one of the largest revolvers in the oil and gas minerals and royalty sector, providing the company with additional liquidity and financial flexibility to help to run our business efficiently. As of March 3rd, we had $407 million drawn on our newly syndicated revolving credit facility, down from $510 million in credit facility debt at December 31. At the end of December, we made our first quarterly amortization payment at par of $11.25 million on our senior unsecured notes, reducing the outstanding principal from $450 million to $438.75 million. The senior unsecured notes prohibit us from making stock repurchases, which we would like to be able to opportunistically do with the 35% of our discretionary cash flow that we don't distribute as a quarterly dividend. We are monitoring market conditions for an opportunity to refinance these notes, either after the first call date on September 21st of this year or sooner if warranted to provide our company the appropriate amount of capital allocation flexibility. Regarding our outlook for additional large scale acquisitions, we remain focused on our underwriting discipline and believe that there will be fewer opportunities that meet our returns criteria in 2023 compared to 2022. There is still a large opportunity set of high quality and sizable minerals positions to consolidate, and we have made several offers to acquire additional mineral assets this year but the bid ask spread has been too wide. If attractive consolidation opportunities do not materialize, we will continue to focus on strengthening the balance sheet by paying down our pre-payable debt and building liquidity for when market conditions normalize. In 2023, we will also be acutely focused on gaining additional efficiencies and implementing new technologies to help us continue to scale and provide competitive advantages that will allow us to replace less effective third party vendors. Professional management of oil and gas minerals is still a relatively new concept and we believe there is a large opportunity to transform the industry, which currently uses many outdated methods and tools. Technological advances geared specifically for the challenges of an independent mineral owner are in their very early stages of development and we are piloting a number of new efficiency tools. We also see a large opportunity to fundamentally improve the relationship between operators and mineral owners, while saving money and time on both sides and eliminating inefficiencies in the system from duplicative work done by hundreds of operators and tens of thousands of mineral owners. That concludes my prepared remarks. Operator please open up the call for questions.
Operator: [Operator Instructions] Our first question today goes to Tim Rezvan of KeyBanc Capital Markets.
Tim Rezvan: First question, I guess, Chris, you gave line of sight information 47.9 wells at year end. You are now almost 10 weeks into the year. There's a lot of concerns on a potential slowdown in industry wide activity. Can you give any insight on what that line of site information is now, or just generally can you talk about the pace of activity you've seen year to date?
Chris Conoscenti: So given data lag, it's hard to give real time updates on exactly what is happening at this moment. But what we have seen over the past several months has been a trend of increasing spud activity and plateauing permitting activity on a gross basis. It's had a somewhat different effect on a net basis to us because there's different interest wells drilled within those. But similar trend of increasing net spud activity and a flat-ish profile for the net permitting activity. But again, that's maybe current as of January is not really up to date as of March 9th.
Tim Rezvan: And if I could switch, I don’t know if this is for Carrier or for you. As Sitio works to get leverage down 2 or below sort of that target 1 times goal. How do you think about the value of your non-Permian minerals? And I ask in light of another public minerals company announced a sale of non-Permian minerals acreage a couple weeks ago. So just kind of -- is that something you're considering or is it more of a low likelihood event?
Chris Conoscenti: Well, it's something that we didn't have the luxury to consider this time last year, because we had a 100% Permian portfolio. But now that we have a broader set of assets, those are the types of portfolio management opportunities that we do consider. Now in order to be value additive for the company, it would have to be a pretty compelling valuation. So it's one of those circumstances where we're in the business of aggregating and consolidating this business and we have to see the compelling use of the capital deployed elsewhere to consider selling some of our assets today. That said, there's places that we look at and we think they're challenged from a growth perspective, and a good example is Appalachia. When you look at Appalachia, it's unlikely that we're going to see additional long haul pipelines built out of Appalachia in my career just given the political landscape up there. And so that basin is effectively capped in terms of production growth. So when we look at minerals there, as a mineral owner what you really hope to see is rapid pace of development, healthy operators, good infrastructure and a stable regulatory environment. And unfortunately, we just don't have all of that in Appalachia. So that's just one example. It's a small segment of our assets. We're not actively considering selling anything at the moment but those are the types of criteria we look at when we consider selling assets.
Tim Rezvan: And then if I could just sneak one last one in. In your prepared comments, Chris, you talked about in September there's the one year anniversary of the senior notes and you could look to refi. You did mention maybe refinancing earlier. Can you -- kind of any details on what the terms would be, is there some sort of premium if you were to refi earlier? And would that be, in theory, like related to some sort of compelling acquisition that you wanted to make and reset the capital structure? Just trying to understand that comment. And that's all I have.
Chris Conoscenti: So at September 21st there is a call premium of 103 and then there's a make hole on top of that to do it prior to September 21st. So it becomes a pretty [NTB] negative trade to do something a lot sooner than September 21st at today's market conditions. Now that can always change. But as we analyze it today, it's not a compelling trade. But you're right, one of the things that could factor into our decision making could be a compelling cash acquisition and us looking for additional liquidity. So we're going to continue to watch it and look for the flexibility that this company needs. These notes were put into place at a much different time in our company's lifecycle, we were smaller, the capital markets were in a much different position than they're in today. And so I think, the overall terms would be much more favorable for our company. So there's other factors than just the NTB that go into it but right now it's fairly [NTB] negative trade.
Operator: The next question goes to Jeanine Wai of Barclays.
Jeanine Wai: Our first question is on productivity. I guess, the press release cited near record level line of site wells, which is great, that's a tailwind in ‘23. But continued capital discipline from public EMP operators as a headwind. So on the discipline side, is it your sense that companies that continue to high-grade activity within their acreage position, there's been a lot of attention on year-over-year oil productivity with one large cap EMP actually saying that flat productivity at this point would be a win in ‘23 considering just the natural maturation of the industry? So I guess, any comments on what you're seeing from your end regarding oil productivity trends, and it's kind of in direct conflict with some of the trends that we're seeing from the EMP operators of doing more co-development or exploring more deeper zones. So any commentary you have would be very helpful.
Chris Conoscenti: So we are seeing people look around for leases on deeper horizons, not in great volumes, but here and there anecdotally we are seeing that, and we are seeing wells here and there testing different zones. But again, it's not the lion share of activity. The lion share activity is still in the most productive and highest IRR known zones. So not a lot of deviation from past activity there. We did take a look at some of the performance data on some of the operators that did report some of those productivity differences versus prior wells. And as a mineral owner, we sit here and one of our goals is to maximize resource recovery from a drilling unit. So it's probably less sensitive than an operator is to single well economics, because they're the ones that have to deploy the capital and bear the burden of that capital expense. For us, what we're hoping to achieve is maximum drainage from any units. So yes, single well economics are important but more important to us is actual maximizing of drainage from a given unit. So that's the area we’re more focused on.
Jeanine Wai: Another structural advantage for minerals, if you like it. Our second question maybe just going to the deal environment. The commentary in the press release indicated that the current environment is looking to have similarities to 2019 and 2020 with I think it's had single digit rates of return. So just wondering if you could provide a little more color on what you are seeing, and what level of returns do you consider to be acceptable considering that you can hedge some of the commodity price risk?
Chris Conoscenti: Our expectations for rates of return haven't wavered since we were a private company with private equity capital and those types of return requirements. So we still look for mid to high teens, the low-20s IRRs over the life of the asset. And we value these assets at strip pricing. And when strip pricing is above what we consider mid-cycle, which is in today's terms $50 to $75 by our math, then we will hedge. So our underwriting standards haven't changed. But we are in a time period right now much like we were in 2020 where commodity prices were much higher not too long ago. And when that pattern exists, you see sellers look for commodity pricing or valuation that reflects prior pricing, not current pricing and prior levels of activity, not current levels of activity. So these things move in cycles and we are patient and disciplined. So we will be here when the cycle normalizes and we are just going to build liquidity in the meantime.
Operator: [Operator Instructions] And our next question goes to Noel Parks of Tuohy Brothers.
Noel Parks: Just a couple of things. One thing I noticed is that actually the proved reserve figures came in higher than sort of my back of the envelope estimate. And I wondered was there anything notable that came from your process of sort of rationalizing the Old Desert Peak and in Falcon and then Britain's different reserve policies? I seem to recall there is some differences as far as PUD bookings and also different accounting method change with Brigham, I believe.
Chris Conoscenti: Nothing notable in terms of evolution of reserves beyond what we were expecting. You are correct, there were some nuances in how each of the companies philosophically approached PUD bookings. I would say ours is on the more conservative end of the spectrum where we only booked wells that have been spud as spud wells. So that's where you’re may be seeing some differences versus legacy companies in the acquisitions.
Noel Parks: And you mentioned right at the end of your remarks that you were piloting a number of new efficiency tools. You are talking in general about professional management of minerals is still relatively new. Just curious about some of the things you are extending with?
Chris Conoscenti: So we are really excited about a couple of the initiatives we have starting this year and we sit here in a pretty unique position where we view ourselves as the permanent owners of these assets. And we're buying assets from people who maybe aren't necessarily the permanent owners, and that's why they're selling them to us. And as the permanent owners, we're going to manage them differently, meaning we're going to make sure we're getting paid timely on every well every month, making sure that the decimals on which we're paid match the decimals on which we believe we own. And we track these things monthly. We prioritize the missing payments that we believe were owed and we pursue them with operators. And to do that on a business of our scale with 5,000 leases over 25,000 wells, it takes a lot of technology and data management to do it efficiently. And so we are developing tools on our own just because there are -- there's no suite of software that effectively manages a minerals business. So we spend a lot of time in 2020 building out our data warehouse and data management system. And that has allowed us to scale the way that we have. And now we're working on ways to make our team more efficient by having them touch fewer of the data points and just automatically process some of the data points. So things like revenue or division orders are just begging for efficiency measures. So we're working on those things this year.
Noel Parks: And just one housekeeping item. In the release, the one time transaction costs were broken out, which was helpful. And is that -- is the fourth quarter of amount sort of the bulk of what we'll see, or do you expect there will still be some remaining items in first quarter, second quarter?
Chris Conoscenti: There were a couple of lingering invoices in January, but that's it.
Operator: [Operator Instructions] And we have a follow-up from Jeanine Wai of Barclays.
Jeanine Wai: Just a question from us maybe following-up on something that Noel just asked, in terms of new things that you're thinking about doing. So you also mentioned in your prepared remarks doing certain things to improve the relationships between operators and mineral owners, and we found that really intriguing and we know that you're kind of trailblazing some of the minerals business model here with large scale. So just any commentary or color on what you meant by improving the relationships and how that'll translate into tangible improvement?
Chris Conoscenti: So if you think about the construct we live under today, we deal with publicly released information. So information that comes through regulatory bodies like the Railroad commission in Texas and check data that we receive from operators. But all this data comes to us on a lag basis. It'd be nice when we're more relevant and at a larger scale with operators to have a more direct line of communication, because we think that that can save the operators’ time and money and also improve the quality of data we receive from them. Right now, that data filters through third party providers and often mistakes are made by those third party providers, and we find ourselves having to correct them or work with the operators again, and just consumes time and resources on both sides. And so just having a more direct line of communication, more standardized output of information, those types of things will go a long way to reducing costs for operators and for mineral owners.
Jeanine Wai: And then just one quick one on potential buybacks in the future once you take out those old notes. We heard some commentary on the EMP earnings calls that they just think that their variable distributions aren't getting enough credit in the market. We've heard this from a couple of operators actually. And so one of them was moving more towards buybacks in a meaningful way, another operator said they were going to go back to their shareholders and kind of pick their brains on that. And I think for you guys buybacks has always been part of a broader conversation. Just wondering if there's been a change in any of your conversations with your own investors about what they really want you to do on capital allocation of that distribution?
Chris Conoscenti: We haven't heard any change or seen any change from our shareholders and what they're looking for. As we look at our options here, we still remain committed to our at least 65% payout ratio as a percentage of our discretionary cash flow. And the current thinking is that if we were to institute a buyback program once we get board authorization and once we refinance these existing unsecured notes for more flexible piece of capital. The thinking now is that the share repurchases will be done out of the 35% of retained cash flows. And so we remain committed to that 65% on the dividend payout, that's the current thinking that go with change. But we'll continue to re-evaluate that at the time that we have the flexibility to make the repurchases.
Operator: [Operator Instructions] Thank you. It appears we have no further questions. This now concludes today's call. Thank you so much for joining. You may now disconnect your lines.